Operator: Ladies and gentlemen, thank you for standing by and welcome to the Century Aluminum Company Fourth Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] I would now like to hand the conference over to your speaker today, Peter Trpkovski. Thank you. Please go ahead.
Peter Trpkovski: Thank you, David. Good afternoon, everyone and welcome to the conference call. I am joined here today by Mike Bless, Century’s President and Chief Executive Officer; Craig Conti, Executive Vice President and Chief Financial Officer; and Shelly Harrison, Senior Vice President of Finance and Treasurer. After our prepared comments, we will take your questions. As a reminder, today’s presentation is available on our website at www.centuryaluminum.com. We use our website as a means of disclosing material information about the company and for complying with Regulation FD. Turning to Slide 1, please take a moment to review the cautionary statement shown here with respect to forward-looking statements and non-GAAP financial measures contained in today’s discussion. With that, I will hand the call to Mike.
Mike Bless: Thanks, Pete. Thanks to all of you for joining us this afternoon. If we could just flip to Page 3 please, I will give you as usual a quick summary of the last couple of months. Before we get started though, we are extraordinarily sad to report a fatality at Mt. Holly that occurred in December. The incident happened outside the cast house in the loading area. Those of you who are familiar with these facilities can picture that where that location would be. The victim was a longtime employee and a cherished colleague and friend. She is sorely missed by her family, by her colleagues and by the entire community. This tragedy reinforces our commitment to take an unbiased look at absolutely everything we do and commit to improve where needed without condition. It requires dedication and leadership from every part of our organization and personal commitment from each and every individual. We all know we must hold ourselves to the highest of standards and demonstrate our promise to keep ourselves and each other safe. Not just talk, but we need to demonstrate that each and everyday. Okay. And with that, let’s dive in. Pete in a couple of minutes will give you a summary, as he normally does of the industry fundamentals. Let me just make a couple of points to put the rest of my comments into context before I get going on the rest. You all follow the macro data, so I’ll keep it pretty quick. Obviously, world manufacturing indices are approaching levels that frankly, we last saw in early 2018. At that time, the LME price, as you may remember, was over $2,500 a tonne. Manufacturing activity in our key markets in the U.S. and in Europe remains especially robust. You have seen the most recent employment data this morning. Obviously, it’s got a long, long way to go, but it is showing some hopeful signs. Other factors are coincident with strong base metal prices. A number of them, amongst which obviously the dollar, showed a little bit of strength in January, but obviously it remains on a weakening trend and crude prices are up. Thus far, headline inflation has shown resistance to upward pressure. That said, you have all looked inside the summary data and you have seen that there are some potential signs lurking. Obviously, you have seen the crawl upwards in treasury yields. Adding to this environment is further stimulus coming in the U.S. obviously and almost certainly in other developed markets. The situation has led to extraordinarily tight supply conditions in our markets with real pressure for prompt units. And the cold weather in the southern portion of the U.S. over the last couple of days has only exacerbated this problem. Inventories measured in days of supply are at historically very supportive levels. Midwest premium and the EU duty-paid premium are on upward trends. I will talk about the trade environment in just a couple of minutes. The spot premium for many value-added products is at an all-time high. All these conditions as well have pushed up the global commodity price. Moving on, our operations are generally stable and running at expected levels of efficiency and cost. Grundartangi and Sebree each are at a full complement and running very well. Hawesville, on the other hand, has had a difficult last couple of months. The plant experienced three unrelated but almost simultaneous equipment incidents in December. This resulted in the loss of a number of cells and generally poor operating efficiencies, and it drove some cost increases during Q4. These were offset by really good performance from the other plants, especially Mt. Holly and Grundartangi. We have got a plan in place to get Hawesville back to normal operations by the early part of the second quarter, and Craig will take you through a financial summary of Q4 in just a minute. Mt. Holly is running very well and as I said, had an excellent quarter in controllable costs. That said, we continue to lose sales at the predicted rate. Obviously, that’s given the age of the pods since we last rebuilt them. This simply reinforces the importance of moving forward aggressively on the rebuild process and I will talk about that in just a minute. Let me just give you a couple of brief comments on the expected financial performance for the first quarter and for the full year, and Craig will give you lots more detail in a minute. The first quarter is going to be impacted by two items, which will result in lower EBITDA than you would expect to see with a realized LME price in the low 1,900s. That’s where we are currently predicting it’s going to come in. You all are familiar with our lag as well as lag premiums. The first, it goes without saying, is the extreme weather which you have been seeing impacting the electrical grid in the southern part of the U.S. This will result in a meaningful increase in our power price for the Kentucky plants for the first quarter. Frankly, we haven’t seen this kind of situation since the Polar Vortex in 2014. The power prices come nicely back down and it’s almost back to where it would normally be. So the impact for the quarter of this event looks to be about $15 million. Of course, that’s an extraordinary occurrence, which only impacts the first quarter. A second much less significant factor is a good dose of restart expense in Mt. Holly which will hit in Q1, and Craig will take you through all that detail in just a couple of minutes. Absent these items, the quarter would look as you would expect. And obviously, if you would adjust for the current LME price, which is well over $200 higher than the price that we forecast we will realize in Q1, that would produce a significantly higher level of profitability. Obviously, today’s prices won’t be realized in our financials until the second quarter. Craig is also going to take you through our expectations for quarters two through four in terms of production volumes, plant operating costs and other assumptions. When he does, when you have the time to look at the data in the appendix, you will see that plant costs are estimated to be up about $150 a tonne versus the estimates at this time last year. It’s important to understand the vast majority of that increase is simply based on the fact that we’re using a higher LME price estimate to estimate the cost of alumina and power in those contracts that are linked to the LME. We’re also using slightly higher market power prices based on the current forward prices. Now arguably, those prices, obviously those forwards are at slightly higher levels than they would normally be just given the prop prices. Most importantly, you will see controllable costs such as labor and maintenance on a per tonne basis are absolutely flat 2021 to 2020 and we are really pleased with this, especially given the restart spending at Mt. Holly. Okay, let me move on and talk for a couple of minutes about Mt. Holly specifically. You saw our announcement in mid-December that we had signed a 3-month extension to the power contract. That contract of course was set to expire at the end of 2020. We and Santee Cooper had made very good progress in November and December on terms for a new 3-year contract and we just needed to give the teams a bit more time to finalize an agreement and then provide for the necessary regulatory approvals. That full contract has now been agreed on terms consistent with what we had in December, what we were expecting. And Santee Cooper has submitted the contract to the required state oversight committee and we are jointly awaiting approval and that new contract is expected to commence on the April 1. It goes without saying we are so pleased to have reached this milestone. Our colleagues at Santee Cooper were really creative in helping us mutually reach this point and we are quite appreciative of their substantial commitment of time and resources. All this further encourages us with regard to Mt. Holly’s long-term prospects. And in fact, we’re working with Santee Cooper now on some interesting demand response opportunities that would bring additional value to each party, to their system and to our company. The real credit for getting us to this point goes to our people at Mt. Holly. They managed the plant consistently through an extraordinarily difficult period. Obviously, they had the issues caused by the pandemic, and those were exacerbated by the uncertainty over whether we could find a sensible power contract to run the plant post-December 2020. We are very grateful for their commitment and we are now excited to give them the opportunity to rebuild and expand the plant. The new contract is for just shy of 300 megawatts. This will enable us to grow the production from the current 50% to 75% of capacity. That’s an annualized rate of about 170,000 tonnes. As you know, due to the lack of visibility on a long-term power contract, we’ve purposely not rebuilt cells as they have normally failed over the last 4-plus years. And thus, we need to fully rebuild all the cells in the potline that’s been operating, plus half of the other line to get to 1.5 potline, 75%. You’ll recall that’s very similar to the process that we went through at Hawesville in 2018 and 2019. And also like Hawesville, there is some necessary capital projects in various parts of the plant. All these processes have already begun. And obviously, we want those metal units as quickly as feasible. Let me just spend a moment on some financial structuring that we put in place to support the Mt. Holly rebuild program. The new 3-year contract, if you had a chance to read the press release, it comes with a fixed power price. That’s obviously different from Kentucky, where we are exposed to floating power prices. And in Kentucky, those market prices tend to move generally with other commodities like our revenue, i.e., LME, of course, other than in extreme environments like we have had in the last couple of days. Given this, we have taken a large portion of the risk off the table to guarantee an adequate financial return during the 3-year contract and to protect against downside. So since the power price is fixed, we fixed a good portion of the other commodity costs as well as the revenue related to Mt. Holly’s production. We think this approach represents good balance, guarantees reasonable cash flow from the 3-year contract despite the significant rebuild costs, so over and above of course the significant rebuild costs. It preserves upside during the contract to extract further value in the power price via demand response opportunities and other alternatives. And it preserves our ability to work with Santee Cooper on longer term concepts and obviously the time to do so during the 3-year term. A couple of other comments before we move on just on the trade environment, as you have seen, we think it’s been generally well supported. Canadian imports have averaged around the levels that were established back during the third quarter. As you will recall, these amounts were specifically set to backstop the effectiveness of the Section 232 program. And thus far, we believe it’s generally working, although of course, we are watching it very closely. It’s clear to us that the Biden administration supports the purpose of the 232 Program. The most immediate action you have seen was the rollback of the previous administration’s last minute exemption of a large importing country from the tariff. One of President Biden’s principal platforms, as you know, is the urgent requirement to build back U.S. strength in manufacturing. One of the key points that his administration has made is that we must build back the employment base, the technical knowledge and the experience in these key industries. The point has been emphasized that U.S. workers can’t be good consumers unless they have good jobs, fair wages on which they can depend for the long-term. And of course, we couldn’t agree more and are looking forward to doing our part. The hiring of additional folks to support Mt Holly’s expansion is the next step. One last item, I just want to spend a minute summarizing some developments on our sustainability efforts we’re really excited about. If you could just flip quickly to Page 4, you may have seen our recent announcement relating to a multiyear agreement we signed to sell our low carbon Natur-Al product to Hammerer Aluminum Industries. It’s a great high-quality OEM and we are really proud and excited to be working with them. We are also in discussions with other potential customers and this represents a really exciting opportunity for Century. We also continue to work on an interesting renewable power opportunity for the Kentucky plant specifically, and we hope to be able to report to you on some specifics over the coming months. And with that, I will hand you over to Pete.
Peter Trpkovski: Thanks Mike. If we can move to Slide 5 please, I will take you through the current state of the global aluminum market. The cash LME price averaged $1,900 and $18 per tonne in the fourth quarter of 2020, which was up approximately 12% or $211 per tonne sequentially as we continue to see a strong recovery on the global economy and in particular, the manufacturing sector in that quarter. As industry conditions continue to improve the LME price has averaged $2,020 per tonne so far in the first quarter of this year, and sitting around a 2.5-year high of $2,150 per tonne today. In the fourth quarter, regional premiums averaged approximately $0.13 per pound in the U.S., which was flat sequentially, and $136 per tonne in Europe, an increase of 12% sequentially. Current spot prices are approximately $0.155 per pound in the U.S. Midwest and approximately $155 per tonne in Europe. In the fourth quarter of 2020, global aluminum demand was up approximately 5% as compared to the fourth quarter of 2019. In the world, excluding China, we saw demand flat when compared to the prior year quarter. In China, we saw a demand growth of 9% as compared to the fourth quarter of 2019. Global production was up approximately 6% in the fourth quarter as compared to the fourth quarter of 2019. We saw approximately 10% production growth in China, while the rest of the world was flat. Looking at some of our key raw materials, the alumina price index averaged $282 per tonne in the fourth quarter, which was up 3% sequentially, while Indiana Hub prices were slightly down or $0.22 per megawatt hour lower sequentially. Spot prices are approximately $300 per tonne for the alumina price index, and with the cold snap coming in much of the United States this week, power prices have already begun to come off their peaks from levels that we hadn’t seen since that Polar Vortex of 2014. And with that, I will hand the call over to Craig.
Craig Conti: Thanks, Pete. Let’s turn to Slide 6 and I will take you through the results for the fourth quarter. On a consolidated basis, global shipments were down 4% quarter-over-quarter, primarily due to timing of European product deliveries. Realized prices increased substantially versus prior quarter as a result of higher lag LME prices and delivery premiums bringing net sales about flat with the prior quarter. Looking at operating results, adjusted EBITDA was $800,000 this quarter, and we had an adjusted net loss of $30.6 million or $0.32 a share. In Q4, the adjusting items were $13.6 million for the unrealized impacts of forward contracts, $5.5 million for our share of a litigation settlement, $2.4 million for the net realizable value of inventory, and $800,000 for the historical Sebree equipment failure. Our liquidity remains strong with $182 million of funds available via a mix of cash on hand and credit facilities. This represents an approximate $13 million improvement versus prior quarter liquidity levels. Okay, let’s go to Slide 7 and I can walk you through our quarter-to-quarter bridge of adjusted EBITDA. As we forecast on our last call, higher lag LME prices and delivery premiums drove the majority of the EBITDA increase versus Q3 levels. The Q4 realized LME of $1,730 per tonne was up $180 per tonne from the very low levels realized in Q3, while realized U.S. Midwest premiums of $285 per tonne were up $40 per tonne over the same period. Realized alumina was $290 per tonne or $15 per tonne greater than prior quarter. As we discussed previously, the majority of our alumina contracts are priced with an LME reference and the realized prices will largely track in line with lagged aluminum pricing trends. Average domestic energy prices were essentially flat versus prior quarter due to the relatively mild early winter weather. However, the Nord Pool price, which we referenced were approximately 30% of our Icelandic power needs, was up about $6 per megawatt hour. We are largely hedged on our Nord Pool exposure at least through 2021. I will give you some more detail on this in a few pages. Looking ahead to Q1 specifically, the lagged LME of $1,930 per tonne is expected to be up about $200 per tonne versus Q4 realized prices. The Q1 realized U.S. Midwest premium is forecast to be $290 per tonne or up about $5 per tonne, and the European delivery premium is expected at $140 per tonne or up $15 per tonne versus the fourth quarter. Realized alumina is expected to be $320 per tonne or up about $30 per tonne versus prior quarter. Taken together, the LME, alumina and delivery premium pricing moves are expected to increase Q1 EBITDA by about $30 million versus Q4 levels. On power cost, as Mike mentioned earlier, the extreme weather-driven spike in domestic energy prices is expected to cost an incremental $15 million in the quarter. In addition to this impact, normal seasonal power price impacts are expected to be in the range of $15 million to $20 million globally versus prior quarter. Roughly half of the seasonal impact is driven by Nord Pool prices which, as I mentioned earlier, we have largely hedged for 2021. In total, we expect global power costs to increase in the range of $30 million to $35 million versus Q4 levels. This range will be the quarter-over-quarter impact on EBITDA. The impact on cash flow will be about $10 million less due to the hedged nature of our Nord Pool position. Finally, we began the process of rebuilding Mt. Holly in early 2021 as Mike mentioned. We expect the incremental restart spend will be about $5 million in the second quarter. In sum, we expect all of these items taken together will equate to an approximate EBITDA decrease of $5 million to $10 million from Q4 levels. Let’s turn to Slide 8 and we’ll take a quick look at cash flow. We started the quarter with $81 million in cash and ended December with $82 million. A few notable inflows for the quarter included a $5.5 million litigation settlement and about $1.5 million in insurance recoveries, of which the largest component related to our 2018 Sebree equipment failure. To-date, we have recovered $21.3 million over and above the $7 million deductible and we expect to close out the claim with our final collections in the first quarter. Now I would like to transition to our discussion of 2021. Consistent with our practice in previous years, we would like to provide you with the tools to forecast our business from an EBITDA and cash standpoint using the commodity prices of your choosing. Please keep in mind that any future commodity prices referenced on this page or in the following pages are planning assumptions and not Century forecasts for those commodities. As Mike mentioned earlier, we are using a higher LME assumption than in 2020, which in turn increases our power and alumina costs and hence, accounts for the majority of the operating expense increase in 2021 versus prior year. Let’s turn to Page 9. We expect our 2021 shipments to be about 875,000 tonnes or about 65,000 tonnes more than 2020, largely attributable to the incremental impact of the partially restarted capacity at Mt. Holly and a full year of Hawesville production at its current 80% capacity. LME pricing lags in the U.S. will be roughly 50% on a 1-month lag and 50% on a 3-month lag, while Iceland transactions will be priced primarily on a 3-month lag. Midwest premium pricing will be on an approximate 1-month lag, while European premium pricing will be on an approximate 3-month lag. Our weighted average value-added premium is expected to be about $115 per tonne worldwide. Please note that this is expressed as a value over the premium tonnes themselves, not overall tonnes produced. Domestic power is similar to previous years, with our Kentucky smelters using market-based Indiana Hub pricing contracts. As Mike mentioned earlier, Mt. Holley will transition to a largely fixed power cost contract in Q2 of this year for the next several years. In Europe, similar to 2020, approximately 70% of Iceland’s power will be LME based, while 30% will be market-based referencing the day-ahead Nord Pool market. The Nord Pool price has been particularly volatile in 2020 and early 2021. While the reference to this price covers only about 10% of our global production, in order to de-risk the volatility, we hedged the majority of our 2021 exposure at levels which are globally competitive. The impact of this price mitigation, as with all of our financial hedges, will be reported below EBITDA. Taking this together with our other price mitigation strategies, the near-term impact in aggregate is expected to be immaterial to overall Century cash flow and we will continue to update you on a quarterly basis if this becomes more significant. Alumina pricing for 2021 will be primarily LME referenced with the majority of our purchases transacting via this pricing mechanism. Alumina costs will be incurred with an approximate 3-month lag on a book basis and about a 1-month lag on a cash basis. Carbon materials will continue to flow through our P&L on a 3-month lag and with an approximate 1-month lag on a cash basis. The bottom section of Page 9 shows our net plant cash cost for the second through fourth quarter of this year, which exclude interest, CapEx and corporate SG&A. These costs are net of all premiums and hence, are presented on a basis that is directly comparable to the LME, meaning you can take an LME assumption, deduct these numbers and be left with a plant gross cash profit. Please note that we have provided a bridge from our gross to net cash costs as well as the commodity assumptions we use to calculate these costs in the appendix of today’s presentation. 2021 net cash cost on a weighted global basis are up about $150 per tonne versus prior year levels, driven primarily by commodity price assumptions. Over half of the increase is driven by the higher LME price versus prior year and its effect on inputs purchased primarily on an LME linked basis, notably alumina and 70% of Icelandic power. The majority of the remainder of this increase is driven by non-LME linked portions of power, notably U.S. Indy Hub and Nord Pool, which are assumed at roughly their forward values which are somewhat elevated due to prop prices. Recall that the Nord Pool portion of the cost increase is substantially hedged so on a cash basis, there will be limited impact from higher prices. In 2021, we will run the company with no increase in controllable operating costs versus prior year on a volume adjusted basis. Turning to Page 10, I’ll cover some of our other cost expectations for 2021. SG&A will be about $45 million on a book basis, while only $35 million on a cash basis. Interest costs will be $37 million on a book basis and $34 million on a cash basis. The pay-down of our Hawesville term loan will be $20 million over the course of the year. The loan will be fully repaid by the end of 2021. Our non-restart related CapEx is expected in the range of $20 million to $25 million in total, with about $20 million for maintenance spend and up to $5 million for investment spending. The Mt. Holly restart will be a multiyear project that will ultimately result in an expanded operation capable of producing over 170,000 tonnes per year. The 2021 phase of the project will be a capital expenditure of about $50 million and will result in total year production of 140,000 tonnes or 21% greater output than prior year. Depreciation is forecast to be in the $80 million to $90 million range. From an income tax perspective, we expect both our book and cash impacts for U.S. income taxes to be less than $1 million, while Iceland will be about 20% of 2021 income on a book basis and about $4 million on a cash basis. As a reminder, Iceland taxes are settled 1 year in arrears. Finally, we expect our cash flow breakeven cost to be $1,775 per tonne. Please note that this is on a direct LME comparative basis. In comparison to our discussion in February of last year, the cash flow breakeven is up $100 per tonne. What’s important to note is that the LME price underlying 2021’s assumption is $250 per tonne higher than that of 2020. As I detailed earlier, the higher LME assumption elevates LME linked costs, such as alumina and portions of Icelandic power. As we think about 2021 outlook in total, it’s important to note that the quarterly pacing of adjusted EBITDA is back-end weighted, primarily driven by lagged LME prices, increased extreme weather-related energy costs in the first quarter, as well as incremental Mt. Holly production coming online throughout the first half. A good way to look at the pacing is to take the total year outlook, calculate it on your own commodity assumptions using the sensitivities provided in the appendix and to assume the back three quarters are relatively similar after deducting the first quarter outlook, which we provided some insight on earlier. This concludes our prepared remarks. Thank you for your time and attention. I would like to turn the call back over to David to begin the question-and-answer session. David?
Operator: Certainly. [Operator Instructions] Your first question comes from the line of Lucas Pipes with B. Riley Securities. Your line is open.
Lucas Pipes: Hey, good afternoon everyone.
Mike Bless: Hi, Lucas.
Craig Conti: Hi, Lucas.
Lucas Pipes: I wanted to follow-up on that very last point regarding the cash flow breakeven. So essentially, outside of the change in LME price assumption, really it would be exactly the same as in the prior year of $1,675?
Craig Conti: No. I mean, the LME is going to be the biggest driver. So, when you look at cash cost, which is probably the easier way to do this, I think Lucas year-over-year, LME is going to be the biggest driver. But if we were to take it in total for the company, net cash cost for Century Aluminum is up $150 versus prior year, okay. $70 million – or $70 of that is driven by the LME. Another $50 or $60 is driven by power, right. So when you are looking at the cash flow breakeven, you have to look at the power piece as well. Now to bring that back down from a gross to a net basis, you look at the delta and premiums year-over-year, which for the company is about $20. So that gets you to the $150 year-over-year cash cost which is a good proxy for the LME breakeven.
Mike Bless: I mean, Lucas, it’s Mike. If I can just pile on there, the LME will be what it is. It’s a circular reference, as you know, because of the linkage of most of our ally – pardon me, alumina and as Craig correctly says, a good chunk, majority of the Nord Pool power. On the market power prices, the other piece, we try to be agnostic there and we try to be consistent. So we use the forwards. The forwards obviously have some element of the price in them today, both Indy Hub and MISO Power and Nord Pool. But we’re going to stick with our – we’re going to stay consistent and just use those forwards. And so if those turn out to be elevated, maybe there’s some room there for that to come down. But we felt we ought to just stick those in there for now and then see what happens.
Lucas Pipes: No, that’s very helpful. I really appreciate that additional detail. And as a separate question, high-yield markets are wide open, seeing what I would consider very attractive rates on some new issuance out there. How do you think about that market? Obviously, you have put in place a secured piece of debt and all the right reasons to do that at the time. But kind of when you think about the market today, are there opportunities on that front to optimize that would appreciate your thoughts? Thank you.
Craig Conti: Yes, good one. Yes. No, great question, Lucas. Thank you for the question and you are right on. If you think about the piece of paper that we had out there as of July, the first call period is in July of this year and that’s at a call price of 105. So clearly, we’re looking at this opportunistically both up to that call period and then after that call period. So it’s something that we’re staying very close to and I would agree with your assessment of the market. So we’ll come back if anything changes on that front.
Mike Bless: You can read the indenture, Lucas, if you haven’t already. So as Craig correctly says, we’ve got a fixed call price normal for these instruments, a little bit better than normal. Normally, you’d see half of the coupon is a little bit better on the anniversary of the first year after the issue. Right now, if you wanted to redeem it, it’s got a traditional treasury-based make-whole formula. And just obviously, given interest rates, even though they’re coming up, so we’re looking at it, there’s a pretty easy breakeven that you can calculate as to how far up our new issue yield, either as a combination of either the treasury or the credit spread would have to go between now and – or over the next, what, Craig, 4 months?
Craig Conti: Right. 
Mike Bless: 4 months. And so that’s kind of the math we’re watching on a daily basis. And the treasury works obviously for you and against you. It works for you in that it lowers the cost of the redemption right today, but in essence, it’s going to continue to drive up, all else being equal, what you could refinance at, at some point in time. So we’re – it’s iterative and we’re watching it. Good question.
Lucas Pipes: Very helpful, very helpful. Yes, that’s something for us to keep an eye on as well, so thank you for that.
Mike Bless: Absolutely, absolutely. And to your inference, probably if we haven’t done anything before July, we’ll talk to you before then, but keep an eye on that space in July.
Lucas Pipes: Great. Terrific. One last one for me, and I’ll turn it over. Just wanted to get your read on the inventory situation, last year, kind of 2020, obviously terrific rebound, but what we heard often and commented on ourselves was that production was also pretty strong during a period of lost demand. How do you see inventories positioned today, both on the exchanges and off? Would be curious to get your read on that? Thank you.
Mike Bless: Yes. So obviously, that – I think what you’re referring to, you redirect me please, if we get it wrong. There was a chunk of 3 or 4 months’ worth of swelling in inventories given, as you correctly say, that March, April, May, going into June, demand had fallen off a cliff and started to recover until the spring was underway. And as you well know, these smelters, basically the world kept producing. And so the world built a couple million tons of inventory that it turned out it didn’t need, it goes without saying. And those have been coming down nicely. A lot of those remain locked away in financing transactions, it goes without saying. But inventories have been coming down nicely. And if you look at even total inventories, irrespective of where they are, whether they’re locked in a warehouse or in an LME warehouse or a non-LME warehouse or in the supply chain, and you look at that versus current run rate of consumption, of demand, it looks frankly pretty favorable. We’re watching it closely, but to the extent that demand is where it is or even is going to increase, I think the math says that the inventory should continue to fall. Pete, you want to say anything else on that one? You’re the market guy.
Peter Trpkovski: Yes. Just look at maybe the days inventory, maybe to put in context of the question, we didn’t jump to the levels you saw back in 2009…
Mike Bless: No, no, we did not say anything...
Peter Trpkovski: With the global financial crisis, but we did see a little bit of a peak, 3 months that Mike was talking about on the onset of the pandemic and the health crisis. But then you saw on the yields of that just I’ll say a massive recovery in the manufacturing sector. And so orders were being accelerated, demand was picking up, especially in the U.S. and European sectors. And so we saw that some of that inventory start to kind of slow back down.
Mike Bless: Downstream demand, just – you were asking about prime, of course, but downstream demand remains I’m trying to not use a melodramatic superlative, it’s crazy. I’ve never, in 15 years in the business. I haven’t seen this. Even in ‘06, ‘07. We can’t – we’re producing, obviously, every ton that we can, but we have at this point in time, at times have had to sort of I wouldn’t say allocate, but choose amongst a stable of very good customers because they can’t get the metal. You’ve got secondary cast houses now being impacted by the weather as you may have read. A lot of those cast – Texas has a huge, huge, both extrusion and secondary cast, as does Mexico. So the situation is pretty interesting right now.
Lucas Pipes: Very, very helpful color. I really appreciate it and continued best of luck. Thank you.
Mike Bless: Thank you. Thank you so much, Lucas.
Operator: [Operator Instructions] Your next question comes from the line of David Gagliano with BMO Capital Markets. Your line is open.
David Gagliano: Hi, thanks for taking my questions. I will try and keep them quick here. Just on the three buckets that you called out in the first quarter bridge, the $15 million sort of spike in power cost that’s coming on. The other I think $15 million to $20 million global increase in power costs, and then there was kind of $5 million on Mt. Holly start-up costs. I think those are the three. I haven’t gone through the bridge math yet for the rest of the year and the cash cost guidance or the numbers in the presentation, but within those numbers, what’s the assumption for how those reverse or do those reverse and how much of those reverse moving forward? That’s my first question, within each of those buckets.
Mike Bless: Yes. Sure, David. So it’s Mike. So the first – I’ll take your three buckets. The $15 million is already reversed. We’re really convinced it’s a one-time thing. If you look at the Indy Hub prices, and frankly the prices at our nodes have been better than Indy Hub, those aren’t public. But if you even look at Indy Hub, it’s come straight down. And the predictions are, if you look at the forecast, it’s going to be back in sort of the 50s by the weekend and then back in the 30s next week. So it’s really – it was terrible, but it was really a 1-week thing, really maybe more like 8 or 9 days. So last Friday, Saturday when it started creeping up and then it shot up. So the answer on the first bucket is, it all goes away. It all reverses, it’s gone. The second bucket is, again, there’s no – all that is, is an increase from Q4 to Q1, that second bucket that Craig talked about. It’s just the fact that power prices were frankly, I would comment, it’s not unseasonably – they were good in Q4, both Indy Hub and Nord Pool. And then Q1, we – other than the 1-week aberration there, we expect them to be sort of normal Q1. And so our expectation is that come Q2, those prices generally ease back down in a normal year. And our expectation is that they would do the same. And that expectation, David, I’ll – hold this thought for a second because I’ll make a summary comment at the end. That expectation is embedded in the plant cash costs that Craig took you through.  And then yes, Mt. Holly is just a burst of expense. Most of it is capital, as Pete said. It’s a burst of expense that’s – most of the items that you don’t capitalize under GAAP tend to be at the beginning of these projects and flow through as expense. The only other comment, going back, I apologize, to that second bucket, is I make all those same comments again for both the Indy Hub and Nord Pool. But as Craig said, on Nord Pool specifically, it’s a bit strange here. From a reported earnings perspective, EBITDA and all the rest, the variance in Nord Pool impacts our earnings, but it doesn’t impact our cash flow because we’ve hedged that Nord Pool. We don’t like the volatility, and so we’ve taken that risk out. So while you’ll see it, and Craig will call it out for you every quarter in the EBITDA or the operating profit I guess we should say, from a GAAP standpoint, there’s no cash impact.
David Gagliano: Okay. That’s helpful. Thanks. And then – so just the Mt. Holly piece, I know it’s tiny, whatever, it’s small relatively speaking. Does that go after the first quarter the $5 million goes to zero after Q1?
Mike Bless: Yes.
David Gagliano: Okay. And then just on the cadence of the Mt. Holly ramp, I mean I think it’s roughly a 25,000 ton year-over-year increase. It doesn’t sound like there was anything embedded in the first quarter bridge that was flagged for volume growth. So I’m assuming that’s 25,000 tons, if that’s right, is sort of 2Q through 4Q. When does that ramp? So what’s the cadence at Mt. Holly?
Mike Bless: You’re going to see the material tons come in over the back half of the year, David.
David Gagliano: Okay.
Mike Bless: Because you’re just starting to rebuild those cells now, and well, I’ll stop there.
David Gagliano: Okay, alright. That’s all I needed. Thanks.
Mike Bless: Thanks, David.
Operator: Your next question comes from the line of Paretosh Misra with Berenberg. Your line is open.
Paretosh Misra: Thank you. Thanks for taking my question. Is there any opportunity for you to pass through some of this high power cost to customers as kind of power surcharge or is it just too early to think about that route? And I’m asking because you mentioned demand is very strong here in the U.S.?
Mike Bless: Yes. Thanks, Paretosh. That’s a great question. I mean in terms of the primary piece of it, that’s just not the way the business works. As you know, the business is LME plus local delivery premium. In this case, it’s a Midwest issue, so plus Midwest plus product premium. And so I’m going to – I’m creeping up on an answer to your question. Most of our – the current situation, demand situation, is reflected in the product premium of course. Like most suppliers, most of our contracts are long-term contract, 1-year contract, meaning we don’t do – the majority of the business we do, the prices, the premium would have been set during the commercial season, so-called mating period in the kind of October-November timeframe. So longwinded answer to your question, we will see some benefit on that demand through spot premiums, but that’s a small portion of our business.
Paretosh Misra: Got it. Got it. And then for Europe, the increase in Nord Pool power prices, any thoughts as to why the prices have been higher this year or something has changed in that market or what’s going on?
Mike Bless: No, it’s seasonal. I mean there is you’ve got cold weather there, too. And really, Nord Pool, it trades – this is one of the reasons, Paretosh, why. We think we understand Indy Hub. We’ve got to price in, I suppose, an every 7 or 8-year excursion like the polar vortex, but we think we understand the factors there. Nord Pool, the factors are myriad. You’ve got the emission allowances that are required in the EU that trade on their own basis and the fair market value of those are embedded in the Nord Pool prices. So you got that going up and down. You’ve got German coal prices going up and down. You’ve got weather in Scandinavia that significantly, significantly impacts. These are all sort of very short-term things. And then longer term of course, you have demand and you have longer term structural changes like interconnections between the various zones in Nord Pool, but it’s just a panoply of factors. Some, as I said, mission allowance is politically driven. So we – that’s one of the reasons we just said, look, we can take the opportunity, which we did last year, to create a first to second quartile power price. Our references are the other hydro-based smelters, Norway and Canada. And we said we can create a power price that’s competitive with those, and we took it. We took the risk off.
Paretosh Misra: Understood. And just, again I guess a strategy question in alumina. If you could just talk about how you talked about alumina costs this year as to why you picked an LME-linked cost structure as opposed to buying basing on some kind of spot alumina price?
Mike Bless: Yes. I mean, this is the time to ask a question like that, so absolutely. Look, all one has to do is look back at the spike in the API, the spot price to which you refer, starting in 2018 I suppose it was, when the large Brazilian Smelter, Alunorte, went out and prices went from the $300s to the $400s to $500. And then there was some problems with, as you might recall, with sanctioning or threatened sanctioning, sanctioning for a while of Russian suppliers and the price went to $700, 30% of LME. And so for that reason, frankly before, as we had said over and over, we didn’t like the API anyway. We don’t think it represents a true discoverable transparent market price. There is too few suppliers, too few buyers. It’s not a transparent market. There’s no liquidity there. So we believe that buying on a percentage LME basis, obviously it’s a natural hedge, so you give a little bit back at high times, high LME times, but you’re protected at low times. And so that’s the reason. And we were able to contract at prices we think are within the range that we’ve always talked about, the fair value of alumina, so we thought it was the right thing to do. Still think so.
Paretosh Misra: Great, thanks. Thanks, very useful and good luck with everything Mike.
Mike Bless: Thank you, Paretosh very much.
Operator: Your next question comes from the line of John Tumazos with Very Independent Research. Your line is open.
John Tumazos: Thank you. I was studying the website of your customer Hammerer Industries for the green aluminum, and they make a very wide variety of products from railcars, to truck parts or cars…
Mike Bless: They do indeed. It’s a really interesting company.
John Tumazos: They seem to be making every aluminum category except beverage can and foil packaging.
Mike Bless: Right. Yes, they don’t roll.
John Tumazos: And they make construction products, too. So the packaging products might be the ones that would best consumer advertise to get some loyalty for green metal, I would think. So can we conclude from the Hammerer Industries example that the green premium applies to all end markets? And can you sell more than 150,000 tons of the green premium?
Mike Bless: Yes, that’s a great – John, the answer to the first is absolutely. Listen, yes, there is a great to pick market for green given consumers and whatnot. But think about cars and think about construction, LEED-certified buildings into the European equivalent and all the rest. This happens to be an European OEM, they’re based in Austria, but they do business throughout the world and so absolutely. And we’ve got plenty of firepower left. That 150,000 is over 5 years. So it’s only 38 years, so it’s 10% or less, 9% of Grundartangi’s annual production, pardon me. Now some of that, as you know, we divert to foundry alloy because that’s a really good high-margin business for us. But even taking the foundry away, it’s still only maybe sixth, seventh of Grundartangi’s annual, or less, production, eight and so longwinded answer, yes. We’re really excited and we think, as I said, we can’t talk about any of them now, but as you would expect, we’re talking to other customers. This is a great lead customer. It’s a really interesting, nice business they have.
John Tumazos: Congratulations.
Mike Bless: Thank you, John.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Mike Bless: We thank you as always for your time and good questions and interest and look forward to talking with you in a couple of months. Everybody, take care.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.